Operator: Hello, everyone, and welcome to today's presentation with Nolato. With us presenting today, we have the CEO, Christer Wahlquist; and CFO, Per-Ola Holmstrom. [Operator Instructions] And with that said, please go ahead with your presentation.
Christer Wahlquist: Good afternoon, and welcome to the presentation of Nolato's Third Quarter 2025. This is Christer Wahlquist speaking. During the quarter, we saw organic growth in both our two business areas, approximately 2% if we adjust for currency. And that, in combination with the strong increase of our margins created a strong increase of our EBITDA. So the sales ended up at SEK 2.3 billion on some and the operating profit rose 20% to SEK 281 million, that includes a nonrecurring item of SEK 7 million corresponding to an insurance claim. But as I mentioned, we saw strong improvement of margins in both business areas. We have maintained a very strong financial position with a debt ratio 0.6x EBITDA, giving us opportunity and possibility to expand together with the right business cases from existing and new customers as well as executing on our acquisition strategy. The Nolato Group consists of two business areas, the Medical Solution, being the largest part at approximately 56% of group sales and Engineered a little bit less than 50% and the rest of the business. Starting out with Medical Solutions. Here, we see sustainable growth in global expansions. And on this graph, you will see a 20-year show of our sales over the last 20 years. So we've seen good growth over the years. We have a very spread business with six focused product areas, and there are also well spread sales across global leading customers, creating a strong foundation for continuous growth and focus on these six product areas. If we look into the third quarter for Medical Solutions, we saw a sharp margin improvement, a full 1.4 percentage points, ending up at 12.1% in the quarter. That, in combination with the increase of sales, 2% created, of course, an improved operating profit ending up at SEK 159 million. We are expanding our business, so we have expansions ongoing in Hungary, Poland and in Malaysia. And all of these are according to plan. And in our Hungarian facilities, we have, during the quarter, started validation deliveries during the third quarter. And we expect that these validation deliveries to continue on approximately the same level for the coming quarters. And then subsequently expected to increase somewhere in the late second quarter. Jumping into Engineered Solutions. Here, you also see a graph of the last 20 years, and we are now in a position where we have downsized our VHP business and our building a strong foundation in the focused product areas shown on this page. Here, we have a well spread business, different product areas with a little bit different if we specifically look into the materials, which is then, of course, based on our own recipes of raw materials. If we look into the third quarter for Engineered Solutions, we saw a very sharp margin improvement, a full 1.8 percentage points during this quarter and it's coming from implemented cost savings and increased capacity utilization and of course, some price adjustments. The business sales totaled SEK 1.035 million during the quarter, which was a 2% currency adjusted organic growth. We saw sales to the automotive industry increased through higher product invoicing and more normal vacation shutdowns amongst our customers. We saw a continuous growth in our hygienic area, thanks to investments in Mexico and also a positive performance for our consumer electronics particularly in Asia.
Per-Ola Holmström: Good afternoon. Per-Ola Holmstrom commenting on group financial highlights. Net sales amounted to SEK 2.342 billion in the quarter, representing a 2% growth adjusted for currency. Operating profit EBITA increased by 20% to SEK 281 million. And the EBITDA margin for the group improved by 2.2 percentage points to 12.0%, including a nonrecurring positive item of SEK 7 million. The effective tax rate was 19%, which we expected to be for the full year as well. Net investments were SEK 183 million in the quarter, a higher level of CapEx than last year as planned, mainly for the expansion in Hungary. We foresee around SEK 850 million in CapEx for the full year 2025. And by then, we expect to have paid almost SEK 500 million of the total expansion of SEK 600 million in Hungary. Enhanced cash flow after investments was lower than last year, SEK 180 million compared to SEK 191 million. Earnings per share increased to SEK 0.8 million. Return on capital employed improved again to 14.1%, mainly driven by the margin improvement.
Christer Wahlquist: Okay. Focusing on the current situation per business area, starting with Medical Solutions. Here, we have our maintained growth strategy, and we see high market activity. We have been focusing on margin, implemented cost adjustment and increased efficiency. Of course, innovation and sustainability based on a broad customer with long-standing close customer relationship. We also are now expanding in Asia, in Poland and also in Hungary. On the Engineered Solutions side, we have advanced our market position. We have a lot of focus on innovative and sustainable solutions. We see success in new market, which is positive for materials and of course, expansion of our operations in Malaysia. We will now open up for questions.
Operator: [Operator Instructions] First, we have Adrian from ABG.
Adrian Gilani Göransson: Yes, I'd like to start off with a question on the expansion in Hungary and the outlook you gave on deliveries related to that. Are you able to say anything more specific on when you will go from these sort of validation delivery phase that you're in to a more -- to commercial scale deliveries?
Christer Wahlquist: Yes. These type of large programs always have a lot of validation and it's different steps of validation. So we foresee that we will have a validation deliveries during this quarter, next quarter and the first quarter in 2026. And then somewhere in the second quarter, we will start deliveries to the outside market to the patients.
Adrian Gilani Göransson: Okay. That's very helpful. And a follow-up on that. Do you see any risk related to this contract, given that the customer in question has had a bit weaker development than recently than I think most people had expected. I mean, could this have an impact on the full run rate volumes for your contract?
Christer Wahlquist: We are happy with our discussions with our customers that we have not mentioned who it is. But we have good discussions, and we anticipate this program to start serial deliveries in, as I mentioned, then somewhere in the second quarter of next year and then gradually grow from there according to plan.
Adrian Gilani Göransson: Okay. Understood. Then on engineered, specifically on the materials business that declined slightly year-on-year. How much should we read into that? Is that just a normal quarterly volatility? Or are you a bit more cautious on the outlook now compared to sort of last quarter, I guess?
Per-Ola Holmström: Yes. As we did mention, most of that is coming from the automotive side, which is a bit pressed right now as many areas within automotive, and we foresee that going forward the next quarter as well to be in a similar development.
Adrian Gilani Göransson: Okay. Understood. And then when you mentioned the efforts on consumer electronics that are actually yielding results in Asia specifically, does that mean that this Chinese facility that has been on low utilization is back at satisfactory levels now? Or are there more improvements here to make?
Christer Wahlquist: We have more capacity, and our ambition is, of course, to gradually fill that with serial deliveries, but it's been improving, and we are gaining new projects and building up. But it's not fully utilized yet.
Adrian Gilani Göransson: Okay. Understood. And just a final one from my end, a detail-oriented question regarding this insurance claim of SEK 7 million. Maybe I should know this, but what is that related to? And are there any outstanding claims left that could be booked as income going forward?
Per-Ola Holmström: We had a flooding situation in one of the factories we have in the U.S. And this is the financial outcome so far, and it could be that we have some additional money coming from that during the end of this year or the beginning of next year. But it's no major money coming from that left.
Operator: Let's move on to Mikael Laséen from DNB Carnegie.
Mikael Laséen: Yes. I have a question about the project in Hungary, the validation delivery, first of all, can clarify what you mean with validation deliveries? What this means in practical terms? Yes, that's the first one.
Christer Wahlquist: Okay. As I mentioned, during ramp-up of these type of very large and complex programs, you have validation of different steps, so you validate individual component manufacturing, some assemblies and then it has to be validated in the filling side of the customer and so on. So there are a lot of products that need to be tested for different variations of tolerances and so on. And this is what we are running right now. And we sell those products and are getting paid for them. So that's a normal behavior in this type of programs.
Mikael Laséen: Okay. So is this meaningful in any way or very small revenue that you get right now to understand what will happen in Q4 and Q1 next year?
Christer Wahlquist: Yes. The sales from these validations is approximately 1% of business area sales during this quarter.
Mikael Laséen: Okay. Got it. And then moving on here, could you also talk to us about the EBITDA margin development for the Medical Solutions segment? It has been relatively stable at around 12% plus two, three quarters now. So what will drive the margins higher than above 12% or well above 12%, which I guess you're targeting?
Per-Ola Holmström: Yes. If we look forward, we do see possibilities in increasing the margin towards the 13%. We did have some years back. And One thing that should support that is, of course, the new program ramping up in Hungary. We have commented on that before. And of course, also moving into higher volumes for some of the expansions we're in right now, adding up capacity utilization.
Mikael Laséen: Okay. And how is the U.S. side progressing for the medical side?
Per-Ola Holmström: Sorry, the new?
Mikael Laséen: The Medical segment, how are they doing in the U.S?
Per-Ola Holmström: They are part of the long-term improvement we have made when it comes to margins but we would still see the U.S. operations as a possibility to move to improve margins compared to the rest of the business area.
Operator: And now we'll give the word to Carl Ragnerstam from Nordea.
Carl Ragnerstam: It's Carl from Nordea. A question from my side as well here. On the new contract, I mean, that you're ramping up in Hungary, could you give any flavor on the production efficiency you're seeing right now, potentially bottom mix versus your expectations? And so far, I mean, it's obviously, I mean, validation volumes, but profitability projection so far if it meets your previous expectations?
Christer Wahlquist: Since it's validation, there is no sort of feedback on yield and those kind of things. Of course, you can look on the individual cycle times, and they are according to our expectations, but the full yield, it's too early to give any comments on that.
Carl Ragnerstam: And the production you're ramping up now, is it covering the cost so far? Is it the burden? I guess it's a burden of margins at such early stage, right? Or -- because its contributed 1% to organic growth in medical. What is the EBIT impact or if any?
Per-Ola Holmström: It's, of course, a small EBIT effect, but it is covering its cost right now.
Carl Ragnerstam: Okay. That's very clear. And on IVD. I'm a bit curious to hear more about what you're seeing there. Because we've seen -- I mean, as you wrote a weak start to the year, we saw before that early indications of a recovery followed by declines. So it's been a bit back and forth, at least it is that -- how I look at it. So how do you view the current recovery in that segment?
Christer Wahlquist: Yes. There is a lot of dynamics behind the IVD as we've been talking about of course, the volatility and the supply chain discussions after COVID, but also the change of one customer changing to our deliveries to an end customer is that. So there is a lot of changes. But we look positive on this market segment. We see possibilities, definitely. We see a growth opportunity going so we are very positive, but we have seen, as you mentioned, some back and forth in the delivered volumes.
Carl Ragnerstam: So you see the growth in IVD to be here to say for now, at least what you see? And do you see an acceleration from here? Or what is your feedback from customers? Because they used to be quite a good earnings driver.
Christer Wahlquist: Yes. I think the feedback we get from customers is that it's a long-term growth area. They see that and they are adding new test into this type of product. So definitely a long-term growth opportunity. But with some volatility still going on in the single deliveries over quarter-for-quarter.
Carl Ragnerstam: Okay. That is very clear. And also, maybe you mentioned it, I didn't hear the full call. But in the materials, you've seen the sort of weakness in automotive. On the other hand, where you've seen telecom, I mean, offsetting it. How do you view the short midterm development here? Because we've seen the deceleration in telecom, if I remember correctly, right, from very favorable comparisons. So do you see it at low single-digit negatives ahead as well short, midterm before automotive picks up pace or how do you view the trajectory from here?
Per-Ola Holmström: I think we should see a sequential development for materials, which is very similar as this quarter in the next quarter. That is the best view we can give. Long term, it is a good growth opportunity for us. But this quarter and also in the next quarter, we foresee a bit slower operations in that area.
Carl Ragnerstam: And when you see sales sequentially, is it a minus 1? Or is it in absolute numbers or perhaps both? I don't have the comps on top of my head.
Per-Ola Holmström: I would say, in absolute numbers similar to Q3.
Operator: That concludes the Q&A session here. Thank you very much, Christer and Per-Ola for presenting here today. Thank you, everyone, for tuning into this webcast with Nolato and I wish you all a great rest of the day. Thank you very much.
Christer Wahlquist: Thank you. Bye-bye.